Aleef Pasha: Good morning, everyone. Welcome to Grameenphone's earnings disclosure for the third quarter of 2023. My name is Aleef Pasha, and I'm the Head of Investor Relations. And with me today are our CEO, Mr. Yasir Azman, and our CFO, Mr. Jens Becker.
 Please note that the presentation we are sharing today financial statements, along with other additional documents are available on our Investor Relations website. You can start by posting questions and we shall address them at the end of the presentation. In case you are unable to post your questions due to technical reasons, please send them to me via e-mail or text.
 I will now welcome our CEO, Mr. Yasir Azman, to start our presentation. 
Yasir Azman: Thank you, Mr. Aleef Pasha, and good morning, everyone. I'm Yasir Azman, Chief Executive Officer of Grameenphone, and thank you for joining us for our Q3 2023 earnings call.
 As reported by our regulator, till August 2023, the telecommunications industry reported 188.6 million subscribers increasing by 3.5 million subscribers from May 2023. And during the same period, mobile data users increased by 4.2 million, and it is reaching to 119.8 million in August 2023.
 Now I'm moving on to some of the key business highlights for the quarter. Our continuous steps to simplify our data portfolio has not only enhanced customer convenience, but also allowed us to optimize pricing effectively, resulting in 8.5% year-on-year growth in average revenue per users in this quarter.
 In addition, our industry fast initiatives, showcasing our innovation and leadership in the competitive landscape. I will delve into the details of this milestone shortly.
 We have made significant strides in transforming the user experience through the power of artificial intelligence and machine learning. By enabling AI/ML personalization for our customers, we are tailoring our services to meet their unique needs and preferences. This not only enhances our customer satisfaction but also ensure that our services continue evolving with the cutting edge technology.
 While this is helping us to build personalized offers at different context for our customers' lifestyle and life cycle, it has actually, for us, resulted in 2 days' additional revenue generation for our customers in a month and 13% higher ARPU while these customers are using MyGP, our flagship app distribution channel.
 Our reports in network expansion and investment have boosted our 4G subscribers base growing 16.5% year-on-year, which has played a critical role in driving our growth.
 On the regulatory front and since Q2 of this year, Grameenphone has been in constructive dialogue with BTRC for reconciliation of payments in relation to the settlement of disputes. On the other end, amidst the challenges posted by the macroeconomic environment, we have continued to deliver on top line and EBITDA growth and is growing Q-on-Q, demonstrating our unwavering commitment to delivering value to our stakeholders and ensuring the sustainability of our business. 
 If I may highlight some of the key macroeconomic factors, inflation went up at its highest level in a decade and now hovering above 9.5%. Foreign exchange reserves have been declining by nearly BDT 1 billion per month and in recent months [ trading ] on the opening and settlement of LCs. And IMF lower GDP growth projection for 2023 by 0.5% points to 6% from its earlier April projection of 6.5% GDP growth for the year.
 Now if I may expand a bit more on the business aspects. Our focus on network investment has resulted in significant progress through spectrum deployment, site rollout and addition of cells to increase capacity. We have increased fiber connectivity to 41% from 17% from the year exit of 2021 and have rolled out over 21,000 total sites in the country.
 Grameenphone is diversifying its B2B portfolio, focusing on development of a new IoT platform and development of ICT-based products, leveraging capabilities of ICT, IoT and cloud ML to deliver on our B2B and advanced customer need and to develop new revenue avenues beyond our core services.
 We have forged a strategic local and global partnership, which will be a vital goal and vital typical elements in advancing in the digital and tech area to gain competitive advantage, and as I mentioned, to serve our B2B and advanced customer need.
 MyGP continues to be the largest local app in Bangladesh with 16.4 million customers, while our total self-care app user reached 18.3 million, highlighting the success of our continued efforts to develop seamless digital experience for our customers. We continue enhancing MyGP features and latest being an operator agnostic log-in solution ensuring secured access for all mobile users in the country. Now everyone in Bangladesh can enjoy entertainment and sports content on MyGP, and we hope to bring more contents into this platform.
 We have also expanded payment options, allowing users to choose their preferred method. The [ entire ] customer journey remains seamless within that, reinforcing our commitment to a robust and a scalable platform.
 And using the power of artificial intelligence and machine learning, we are focusing on transforming and improving personalization of our customers, giving users an immersive experience of telco and nontelco offers. And these are the capabilities not only to build and give better customer experience, as I mentioned, this is also increasing to have an increased ARPU generation, revenue generation in a month and higher ARPU while they are using our digital platforms.
 Subscribers base growth momentum continued in the third quarter, increasing by 0.8 million, which is now 82 million in total.
 Marking on some of our big achievements at Grameenphone, we strive to provide customer-centric digital solutions and industry-fund initiatives keeping the demand of our customers at the core, and we take pride in being the #1 network and enhancing experiences like gaming and redefining connectivity standards. With the objective of reducing our customer pain points, we have launched a first ever [indiscernible] Kiosk just before the departure gate dedicated to international roaming subscribers while started roaming heavily in the last few quarters.
 This achievement highlights our commitment to our customers' convenience and accessibility to our services on the go as it allows last minute international roaming and access to other solutions right before boarding the flight at the airport.
 GPStar, our loyalty program has seen remarkable growth with more than 5,000 partner outlets, an impressive 60% year-on-year engagement increase, strengthening our customer relations.
 We made movie watching more accessible, which is one of the areas we are focusing on to bring in the content to our subscribers and to our audience by introducing an industry for subscription-based video-on-demand capability started with a movie called Priyotoma, assuming a remarkable 48% increase in sales on Bioscope and our comic entertainment OTT platform compared to traditional cinema halls.
 All these different services arriving on our data connectivity and with that cutting-edge technological capabilities, we see better customer interaction, retention in our network and increased average revenue for our customers.
 Moving on to our work in different societies and empowering societies. At Grameenphone, we believe that our responsibility extends beyond just our business operations. We are deeply committed to driving social impact and making a positive difference in the communities we serve.
 For our social impact initiatives, we have been making efforts towards accelerating the nation's future economic growth by enhancing the skills and potential of our youth. And AI-powered youth upskill platform has been launched by future national program, which we are running together with UNDP and BIDA, empowering your -- our young individuals in creating a smart series, employability assessment and in skill enhancement.
 GP Academy, our free and open upskill platform awarded skill certification to 400,750 students, of which 39% are females. Industry leaders and policymakers have been involved in new upskilling with GP Academy program. We have trained more than 110,000 school children and young people from vulnerable communities on online safety and digital skills. This includes training of teachers from more than 600 schools during the quarter.
 Grameenphone played a prominent role in regional Climate Summit 2023 to underline GP's commitment on climate action and the significance of access to renewable energy for private sector in the context of Bangladesh. We have also taken up targets to increase our percentage of annual spend to our suppliers contributing towards carbon emission targets. And currently, we have reached 32.6%.
 During the last large floods in Chittogram division, we supported 10,000 families with food relief and deployed 5 water treatment plants to provide safe drinking water to the affected communities. And these are the areas we work as and when required other than our regular programs to empower society and especially digital skill development and online safety.
 With this, I will now welcome our CFO, Jens Becker, to take you through our financial performance for the quarter -- Q3 2023. Jens Becker? 
Jens Becker: Thank you, Azman, and good morning, everyone. Let me start with a short overview of the key financial KPIs. Grameenphone continued its solid financial performance in Q3 with the continued growth in top line and EBITDA amidst the rising inflation and other macroeconomic challenges.
 Continuous network coverage expansion and spectrum deployment to improve the network experience, along with customer-focused market activity resulted in a 6% year-on-year growth in subs and traffic revenue after 5.3% growth in the previous quarter. In addition, Grameenphone continues to drive operational excellence, along with top line growth, resulted in a year-on-year 5.7% EBITDA growth in Q3, while maintaining an EBITDA margin at 61.9%, which was 61.1% in the previous quarter.
 With our continuous investment effort, Grameenphone CapEx to sales ratio, excluding licenses and leases for the quarter stood at 14% based on the fourth quarter moving average. For the quarter, EPS stood at BDT 5.53 was an 18.2% NPAT margin.
 Turning to the sub base. Our sub-base growth continued with 0.8 million net adds during the quarter. The reported sub base at the end of the quarter stood at 82 million with 0.9% growth from the previous quarter and 0.3% growth from last year.
 On the other hand, data sub growth continued with 1.4 million data sub additions. During the quarter, in Q3, the data sub stood at 47.5 million with a quarter-on-quarter 3% growth and year-on-year 4.3% growth. With our continued efforts to improve the 4G network performance, Grameenphone's 4G data sub reached 37.2 million with a year-on-year 16.5% growth.
 According to BTRC published information, as of August, GP subscription market share stood at 43.5%, which is 0.2 percentage points lower compared to last quarter. We delivered 10 consecutive growth -- quarter of growth in total revenue and daily subscription and traffic revenue.
 During the quarter, total revenue year-on-year grew by 6.3% after 5.6% growth in the previous quarter. The growth in total revenue was mainly driven by the 6% growth in subscription and traffic revenue, which was 5.3% in the last quarter. Continued and improved double-digit growth in data revenue remains the main contributor to the accelerated top line growth.
 On the details for the last 4 quarters, Grameenphone has delivered double-digit growth in data revenue with accelerated growth momentum. In Q3, Grameenphone delivered year-on-year 26.2% growth in data revenue, up from 17.1% growth in the previous quarter. This improved growth momentum in data revenue was the outcome of relentless efforts to improve network experience and customer-centric offerings and digital experiences.
 On the other hand, year-on-year degrowth in bundle revenue was primarily caused by the personalized offers in product portfolio to meet the evolving needs of our customers. Next slide.
 During the quarter, the service ARPU increased by 8.5% compared to last year and 1.4% compared to last quarter. The year-on-year growth in service ARPU was mainly driven by higher contribution from data segments.
 On the other hand, in Q3, Grameenphone maintained average megabyte per user at around 7 gigabyte, which was 22.1% higher from last year. The growth in data usage was supported by continuous deployment of new spectrum and increased fiber connectivity.
 For this quarter, Grameenphone's reported OpEx stood at BDT 13.2 billion with a year-on-year 10.2% growth. The growth in OpEx was mainly contributed by increased energy cost due to the price hike impact and network expansion. However, despite various challenges, Grameenphone delivered consecutive 10 quarters growth in EBITDA.
 During the quarter, Grameenphone registered year-on-year 5.7% EBITDA growth while maintaining EBITDA margin at 61.9% amidst the energy price hike, inflation and other macroeconomic challenges. The growth in EBITDA performance was mainly driven by top line growth and operational efficiencies.
 On the CapEx side, during the quarter, Grameenphone invested BDT 2.8 billion CapEx, excluding licenses, lease and RO, mainly focusing on 4G network coverage expansion and 2,600 megahertz spectrum deployment. 1,800-plus new 4G sites and 1,700-plus new coverage sites rolled out in the last 12 months. At the end of Q3, the number of 4G sites reached at 21,000 with 97.9% 4G population coverage.
 Turning to the bottom line. Net profit for the quarter stood at BDT 7.5 billion with an 18.2% margin with the year-on-year degrowth of 17.7% impacted by higher tax provision and higher depreciation resulting from network expansion and last year's 2,600 megahertz spectrum acquisition.
 The operating cash flow for the quarter stood at BDT 22.7 billion. This year year-on-year BDT 1.4 billion growth in operating cash flow was mainly generated by BDT 1.4 billion higher EBITDA. On the other hand, as of Q3, net debt stood at BDT 0.6 billion in combination of BDT 7.6 billion short-term bank loan and BDT 7 billion cash balance, excluding restricted cash.
 As of Q3, Grameenphone contributed BDT 95 billion to the national Exchequer, equaling 80% of total revenue in the form of taxes, VAT, duties, licenses and spectrum assignment fees. Since its inception, Grameenphone has contributed BDT 1,156 billion to the national Exchequer.
 With this, I will now hand back to Azman to summarize and wrap up. 
Yasir Azman: Thank you, Jens, to summarize and reinforce the Q3 2023. We registered continued growth momentum in both revenue and EBITDA supported by data segment. It's a very challenging macroeconomic environment, of course. Contributors mainly included growing ARPU of our subscriber because of higher data usage and new services and of course, our strong strength in market execution.
 Our efforts in network expansion and investment and transforming the user experience has strengthened our position as the #1 network in the country. And we continue to focus on meeting our customers' unique needs to simplify data portfolio, which has been a key focus area for the year, personalized offers where we have built cutting-edge technological advancement and advanced digital capabilities, which has driven higher data usage by our customer retention in our network as far as the number of days there into network, and as we mentioned, especially when in the digital channels, higher usage.
 While customers remain at the core of our business, ensuring health, safety and security remains a priority for us throughout the year, throughout the value chain in Grameenphone. 
 Thank you, everyone, once again. I will now hand it back to Aleef for a Q&A session. Thank you. 
Aleef Pasha: Thank you, Azman bhai. We have a couple of questions which have actually come in. So the first one, I will pass to Azman bhai. Sub base has finally returned to growth. Have you recovered from the SIM ban? 
Yasir Azman: Yes, it's indeed that sub base has finally returned to the growth as far as the Q3 exit last year concerns. However, as you understand, that SIM ban started at the end of Q2 last year, which means we have a higher base. We have not reached that base of 84.6 million yet. However, considering the Q3 last year, we are now having growth in subscriber base. 
Aleef Pasha: Thank you, Azman bhai. The next question is for Jens. Why is a bundle revenue falling? 
Jens Becker: Yes. I think I have briefly touched it in my speech as well, but rather focusing on the specific revenue streams, always focus is on customer evolving needs and products are designed based on those needs. Consequently, the revenue is generated from that stream. During the quarter, Grameenphone introduced personalized bundle offers in both the physical and as well as the digital channels, which were only focusing on the specific customer bundle offer demands. 
Aleef Pasha: Okay. We have a couple of questions. I'll summarize together. It's based on data usage. So we have seen data usage significantly grow over the quarters, in Q1. Now in Q3, it seems to be stagnant over Q2. What is the reason? 
Jens Becker: Yes, let me take this, Aleef. So the 7 gigabyte data usage per user, we consider a milestone for the industry and GP had achieved this in the last quarter. And this is the highest data usage as per usage in the industry, as I mentioned, based on Q2 published information.
 In Q3, GP's data users are still maintaining this usage at 7 gigabyte, which is supported by our continuous efforts to improve data network experience. 
Aleef Pasha: Okay. Thank you, Jens. Finally, we have another one for you, Jens. After 3 quarters of high CapEx, why is it so low this quarter? I believe it must be 2 quarters, but why is it low so this quarter? Is this related to ForEx? 
Jens Becker: I think this is basically a timing variance. In 2022, GP invested BDT 17.3 billion for CapEx, whereas we already invested BDT 16.8 billion for CapEx as of Q3. In 2023, there was higher CapEx spending in the first half to improve the network performance through coverage expansion and deployment of new spectrum. 
Aleef Pasha: Okay. Thank you, Jens. And we have a very generic question. So this -- probably Jens can take a bit and then maybe Azman bhai can also add. Could you please explain the reasons that caused the difference between Q2 and Q3 earnings? 
Jens Becker: Q2 and Q3 earnings? 
Aleef Pasha: Yes. So I believe the question is very generic. So I mean, it's pretty much covered in our entire Q3 earnings call, but maybe just an overview would be okay. 
Jens Becker: Yes. I think it probably refers to the growth rates, I assume. And this is basically driven, as I mentioned in the presentation. We have on the earnings for this Quarter 2 impacts. One is the higher depreciation, which comes from the -- especially from the spectrum that we started in Q4 last year. This is, one, for the higher depreciation. And then we have taken some tax provisions as there is some -- in some areas, a lack of clarity on the new Income Tax Act 2023. And here we are waiting for clarification from NBR in this regard and have taken tax provisions for this so far. I think that's the basic difference when it comes to earnings. 
Aleef Pasha: Guess pretty much that's about it. We don't have any more questions. If we can wait for another 30 seconds to see if anything else comes in.
 No, I believe that's all for this quarter. So Jens, Azman bhai, thank you very much. And to everyone who has joined, thank you as well. Since there are no other further questions, we will close for today, but please feel free to reach out to me later if required via e-mail or text. Thank you, and goodbye. 
Jens Becker: Thank you, everyone. 
Yasir Azman: Everyone, thank you.